Operator: Welcome to the MPLX Second Quarter 2022 Earnings Call. My name is Sheila and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Kristina Kazarian. Kristina, you may begin.
Kristina Kazarian: Good morning, and welcome to the MPLX second quarter 2022 earnings conference call. The slides that accompany this call can be found on our website at mplx.com, under the Investor tab. Joining me on the call today are Mike Hennigan, Chairman and CEO; John Quaid, CFO; and other members of the executive team. We invite you to read the safe harbor statements and non-GAAP disclaimer on Slide 2. It's a reminder that we will be making forward-looking statements during the call and during the question-and-answer session that follows. Actual results may differ materially from what we expect today. Factors that could cause actual results to differ are included there as well as in our filings with the SEC. With that, I'll turn the call over to Mike.
Mike Hennigan: Thanks Kristina. Good morning, everyone. Thank you for joining our call. Earlier today, we reported second quarter adjusted EBITDA of $1.5 billion. Our operating results this quarter represented 6% increase from the second quarter of last year. This performance highlights the continued resiliency of our base business, tailwinds from higher NGL prices, as well as the growth coming from recent capital investments. In late June, we've renewed several pipeline contracts with MPC. These pipeline systems are fit for purpose and integral to MPC’s refining and marketing system. The renewal and extension of these contracts make economic and financial sense for both entities. Contracts now have extended terms to 2032 and have two automatic renewal provisions, which will allow for an additional 10 years of extensions, which could take them out to 2042. We continue to view the business as a return on as well as a return of capital business. And this quarter, we advance several organic growth projects. In the L&S segment, we continue to expand long haul natural gas and crude gathering pipeline supporting the growing Permian and Bakken regions. Specifically in the Permian, working with our partners, we continue to progress our natural gas strategy with the expansion of the Whistler pipeline from 2 bcf per day to 2.5 bcf per day, along with laterals into the Midland basin and Corpus Christi markets. In the G&P segment, we remain focused on the Permian and Marcellus basins in response to producer demand. In the Permian, construction advanced on our Tornado 2 processing plant, which is expected to come online in the second half of 2022. We are also planning to build our sixth processing plant in the basin, Preakness II, which is expected to be online in the first half of 2024. This will bring our total Permian processing capacity up to 1.2 bcf per day. In the Marcellus, our Smithburg de-ethanizer is expected to come online to meet incremental in-basin demand in the third quarter of 2022. Additionally, we plan to add the Harmon Creek II processing plant, which will expect to come online in the first half of 2024. This will bring total processing capacity up to 6.5 bcf per day in the Marcellus. Our capital allocation framework remains unchanged. In year-to-date, we have returned slightly over $1.6 billion to our unitholders through distributions and unit repurchases. Today is part of our long-term commitment to capital return. We announced an incremental $1 billion unit repurchased authorization. And with the strength and stability of the business, we will evaluate an increase to our base distribution later in the year. Shifting to Slide 4, this quarter, we continue to enhance our ESG commitments and disclosures with the recent publication of both our annual sustainability and perspectives on climate related scenarios report. We continue to make progress on our 2030 targets to reduce methane emissions intensity 75% from 2016 levels. Through last year, we've achieved a 47 – I'm sorry, 46% reduction, further enhancing the lower carbon profile of our natural gas business. We've also added a biodiversity target to develop sustainable landscapes across 50% of our MPL compatible right-of-ways are about 10,000 acres by the end of 2025. Through the end of last year, we've already achieved nearly 10% of this target. We're challenging ourselves to lead in sustainable energy by meeting the needs of today while investing in an energy diverse future that creates shared value for all of our stakeholders. Now let me turn the call over to John to discuss our operational and financial results for the quarter.
John Quaid: Thanks Mike. Slide 5 outlines the second quarter operational and financial performance highlights for our Logistics and Storage segment. The L&S segment adjusted EBITDA increased $19 million when compared to second quarter of 2021 do primarily to higher throughputs. Pipeline volumes were up 6% and terminal volumes were up 4% year-over-year, driven largely by increased utilization at MPC’s refineries. Moving on to our gathering and processing segment on Slide 6. G&P segment adjusted EBITDA increased $64 million compared to second quarter of 2021, largely due to higher NGL prices. For the quarter, NGL prices averaged $1.18 per gallon, which is $0.43 per gallon higher than the average from the second quarter of 2021. Gathered volumes were up 11% due to increased production in the Utica and Southwest offset slightly by a decrease in the Marcellus. Processing volumes were roughly flat as compared to the second quarter of 2021. Moving to Slide 7. Our second quarter financial results demonstrate the earnings and cash flow resiliency – excuse me, and stability of our business. For the quarter, total adjusted EBITDA of $1.5 billion was up 6% from the prior year, while distributed cash flow of $1.2 billion was flat compared to 2021, primarily due to one-time benefits experienced last year. Free cash flow after distributions increased to $614 million in the second quarter. This number does include approximately $65 million in asset sales proceeds, primarily from the sale of several light product terminals and a $266 million working capital benefit, which we anticipate may largely reverse in the third quarter. Project related expenses increased nearly $30 million in the quarter, and we anticipate an incremental $40 million increase from 2Q to 3Q in project related expenses. Looking at other financial highlights for the quarter, MPLX declared a second quarter distribution of $0.750 per unit resulting in distribution coverage ratio of 1.69 times. We ended the quarter with total debt of about $20 billion and a leverage ratio of 3.5 times. Looking forward over the next 12 months, we have roughly – we have $2 billion of senior note maturities, which subject to market conditions, we would expect to refinance into long-term debt. After quarter end, we entered into a new $2 billion five-year credit facility to replace the previously existing facility. The new credit facility extends to July of 2027. In closing, given current business conditions, our commitment to strict capital discipline and our continued adoption of a low cost culture, we expect to continue generating strong cash flow. Enhancing our financial flexibility to invest and grow the business while also supporting the return of capital to MPX unitholders. Now, let me turn the call back over to Kristina.
Kristina Kazarian: Thanks John. As we open the call for questions, we ask that you limit yourself to one question plus a follow up. We may reprompt for additional questions as time permits. With that, operator will open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey, good morning. Thanks for the time. And nice to hear from you, Mike, I wanted to start on just capital allocation, got the new buyback authorization, but the buyback number during the second quarter was also a little bit lower than I think most of us expected. Can you just talk a little bit about how you're thinking about, think about that going forward and balance that against some of your comments on potentially increasing the distribution later in this year? Thanks.
Mike Hennigan: Yes, John, thanks for your comment. I'm going to let John take that one.
John Quaid: Hey morning, John. Thanks for the question. First, I wouldn't read too much into – our activity in the second quarter and nothing about it should be viewed as a deviation from our capital allocation philosophy. You'll remember in the first quarter, our free cash flow after distributions was less than $100 million, we were coming into a year, forecasting higher capital spending and continuing to look at some growth opportunities. But looking forward, right, we ended this quarter with $300 million on the balance sheet and with our incremental $1 billion authorization, we now have total authorization of $1.2 billion for the repurchase of units. So I think if you look forward in the second half, we'd expect to be perhaps more dynamic and opportunistic as we look at unit repurchases. And of course, all done in line with SEC regs, which from time to time can limit our flexibility, but overall, I think we can continue to anticipate kind of in all of the above approach, certainly subject to cash flow growth opportunities and market conditions so in addition to unit repurchases, right, we'll reassess our base distribution as we did last year and certainly any change there would be subject to board approval. We have a supplemental as perhaps a tax efficient tool for capital return, but you might see us maybe holding some level of cash as we look to evaluate growth opportunities and really opportunistically look to return capital. So I think that's the big picture and I'll turn it back to Mike if he wants to add anything.
Mike Hennigan: I think you covered it well.
John Mackay: No, that was great. Really thorough, appreciate the detail there. Maybe just follow up on kind of underlying fundamental stuff. Can we talk a little bit about what's going on in the Northeast? I think Marcellus processing was, kind of lowest we've seen in a couple quarters, but you'd have felt kind of bounced back nicely. Wondering if you can kind of just unpack those two for us.
Greg Floerke: John, this is Greg, I'll speak to that question. We've seen a period of load growth to even flat sort of maintenance drilling in the Northeast over the last particularly post-COVID demand destruction era and even a flat year-over-year number would be, would represent, quite a bit of drilling and new pads coming online to hold off that decline. We have continued to see that production come on, probably more of the early ramp has been focused in the crude areas because the crude pricing level is what drove more of the rig activity. So Permian, Bakken but we are now seeing starting to see that activity up ramp up. And we expect to see more of a back half of 2022 volume load versus early in the year. So some producers have continued to maintain a little bit of growth and some have continued to decline and not necessarily maintained. So that really is the primary explanation.
John Mackay: Okay. Appreciate that. Thanks for the time everyone.
Mike Hennigan: Thanks John.
Operator: Next, we will hear from Michael Blum with Wells Fargo. You may proceed.
Michael Blum: Thanks. Good morning, everyone. So yes, I wanted to stand the Northeast a little bit from unless I'm wrong. This is the first new processing plant you've announced in quite a while. So just wanted to get your view on if you're seeing any like, really change in the growth rate for volumes in the Northeast and then kind of related to that if Mountain Valley pipeline does get done, do you think that would influence your view of kind of basic growth overall and then specifically anything for MPLX?
Greg Floerke: Yes. Greg, again, as I had mentioned before, we do expect to see some ramp up in growth in the Northeast beyond what we've seen over the last 18 months. In terms of the new plant, the processing plants are really sort of specific to the gathering area and the producers, even within an area like the Marcellus. So we have some plants that have run close or at are very near capacity over the last 18 months. And some that aren't quite at that level overall, we're still at high utilization, but we do see the need over the next 12 to 18 months for more capacity in the specific area where we're building Harmon Creek plant.
Mike Hennigan: And Michael, this is Mike. I'll just add that. So what Greg has said, it's been a constrained area for a while. And our anticipation as MVP will get done. The shell plan is going to come up. As you pointed out, we're going to build another processing plan. So I think we're finally going to start to see a little bit more growth in the area that's been somewhat constrained for a little bit, as Greg just mentioned.
Michael Blum: Great. I appreciate that. My second question is really probably more strategic in nature. There's been recently a few sponsors which have chosen to buy in their MLPs. So they're just curious, just get your latest thoughts on the MPC, MPLX relationship and structure, and whether it's still makes sense from your perspective, maintain a separate publicly traded MLP. Thanks.
Mike Hennigan: Yes, Michael, we get that question often at the MPC call. Our quick answer is our situation is a lot different than many of the others that you've seen, roll it up. So we're pretty comfortable in the structure that we have today. We still think it's good for the marathon family. It works for both, as we just talked about in our prepared remarks, we just, re-upped another 10 years of asset use between the two entities. So we're pretty comfortable with where we stand and we think it's a good structure for us.
Michael Blum: Great. Thank you very much.
Mike Hennigan: You're welcome.
Operator: Our next question will come from Brian Reynolds with UBS. Your line is open.
Brian Reynolds: Hi, good morning, everyone. Was just curious if you could provide any incremental details in the L&S contract extension with MPC, do any rates move up or down or are there any other pipeline assets that were previously not included in the agreement that are now in the agreement? Thanks.
Tim Aydt: Yes, I'll take that one, Brian. This is Tim. So I think you're familiar with the fact that these pipelines are really critical to both MPLX and stable earnings as well as to MPC’s operations. So as a result, both MPLX and MPC agreed to renew and actually extend the contract for another 10 years. And it's a pretty significant contract. But to your question, the contract terms were not changed other than extending the contract duration, which does certainly provide more certainty for an extended number of years on these very key systems. I guess, it'd be important to keep in mind that these specific logistics assets under contract with MPC are indeed fit for purpose and they're integral to the refining and marketing system. So not only does it make operational sense, but renewal with MPC certainly made financial sense for both parties. I think the last thing I would touch on is that while we're talking about this specific contract with MPC, we do have a lot of other systems and so forth. And so we continue to focus on maximizing the utilization of all of those systems including those that serve third parties as well.
John Quaid: So hopefully that's helpful. And hey, Brian, it's John, I just might add on to Tim's comments. One of the things that really was part of our thinking around this as well, was maybe some questions from investors on the commitment of MPC to MPLX and we think this renewal certainly is evidence of that commitment. And just as a reminder, too, I think Tim, might have mentioned as well, but these are all largely FERC index based systems. So their rates have been moving every year in line with the indices.
Brian Reynolds: Great, appreciate all that color. My one follow up question is just around any initial thoughts on the potential pipeline reform build and then potential impacts in the Northeast JMP business. I know you briefly touched on it a little bit earlier, but curious if there's any unique opportunities that MPLX would now consider that it previously hasn't, given it hasn't met its risk adjusted profile, just given the regulatory uncertainty. Thanks.
Mike Hennigan: And Brian, you speaking to the inflation reduction act or a different legislation, I thought I heard you refer to a different legislation. I just want to make sure…
Brian Reynolds: Inflation reduction effectively the side deal that mentioned.
Mike Hennigan: So obviously, pretty long bill, the details were just released and we continue to evaluate it. I think a couple of key points for MPLX. One, you see some focus around methane emission and I would say, and we've kind of talked about it on the call. Mike commented on some in his prepared remarks. We've been working very hard to reduce those emissions. We feel like right now with the current draft, we don't see a significant impact to our overall system. Really a benefit of the work we've done to-date to reduce those emissions. There may be some opportunities around renewables, but I think we're encouraged, but we need to see kind of how that all flows through the final legislation. 
Tim Aydt: And maybe I would just, this is Tim. I would just add maybe a couple of things from the logistics standpoint. There are some provisions in the current version of it that does increase the 45Q tax credit. And that could be supportive of CCS projects, which we have an interest in. And then there's also some provisions for SAF and hydrogen production, which could drive some future logistics needs as well. If that was part of your question. So, but as John said, it's early, so we're going to continue to monitor it.
Brian Reynolds: Nope. Great, that covered it. Appreciate all the color and have a great rest of your day. 
Tim Aydt: Thank you, Brian.
Operator: Thank you. Our next question will come from Jeremy Tonet with JPMC. Your line is open.
Steve McGee: This is Steve McGee for Jeremy. Really just one for me, wanted to see if there was any further updates to Matterhorn. Just how you're thinking about participating and any further details you can give us there.
Tim Aydt: Sure. This is Tim. I will take that one. As we've mentioned before, we do believe in the strong growth of the Permian and believe that beyond even the announced expansions of the existing pipes, such as Whistler, that a couple of more pipes are going to be needed over the next five plus years. Matterhorn is the first of those which is why the partners FID the project in May as for our equity ownership in Matterhorn that's not been totally finalized yet, but it does currently stand at 5%. And so from a monetary standpoint, that would represent about $30 million of investment and then that of course would reflect some level of project financing. So that's relatively small stake here on Matterhorn. But that's – we put a lot of our commitments toward the Whistler side of the house and its expansion.
Steve McGee: Got it super helpful there. Actually, if I could just one more, just wanted to see with just cost increases if you're seeing any kind of cost pressures right now throughout the business. And then with that, how much of that do you, it's permanent versus how much do you think you can optimize again?
Tim Aydt: So this is Tim again, and you're basically referring to some of the inflation protection. I would assume that we have so. So I'll attack that question in that regard. I would say that like others, we are certainly seeing some inflationary cost pressures across most all of our spend categories, quite frankly. And these increases are largely in line with the public indicators for material, equipment, labor and freight. We are seeing line pipe and energy cost that may be up a little more significantly. For example, our fuel and power is up about 15% year-on-year for our pipeline side of the house. The teams are certainly working hard to help offset these increases by completing more of the work in-house, maybe deferring some non-critical work and realizing operating efficiencies through the ideas of our workforce. I think if you're talking more on the capital side, much of our 2022 capital spend was contracted previously, so early in the year we didn't see as much impact on our capital spend, but we do expect that with increased cost you're going to see that later in the year. We still maintain our capital guidance of $700 million and intend to spend that and stay within budget. I would say that the increased costs for capital projects are probably going to show up more significantly in 2023, as we are starting to see a lot of rate sheet increases from contractors and other service providers. So hopefully that gives you a little flare to what we're seeing.
Steve McGee: Yep. That's perfect. Thanks guys. I'll leave you there.
Tim Aydt: Okay. Thanks, Steve.
Operator: Thank you. Our next question will come from Theresa Chen with Barclays. Your line is open.
Theresa Chen: Good morning. Thanks for taking my questions. And it's great to hear from you, Mike. So maybe beginning with the demand side of things across L&S given the incremental concern following the recent economic data and just market worries about recession, your second quarter utilization of the parent and the volumes of the MLP would indicate that things are going well, but would love to hear your outlook across the demand regions please?
Mike Hennigan: Yeah. Theresa its Mike thank you for your comment first. The demand question is obviously one that we continue to monitor, and I guess at the end of the day, we're still pretty bullish of what we're seeing across the commodities. It was interesting give you more detail than you probably wanted, 4th of July weekend, which is typically a stronger weekend was not that strong in our system, but then subsequent to that the rest of July really picked up again. So I think the reason we're still constructive is overall, we're still mostly at pre-pandemic levels across the system. So we think there's still room to run on the demand side. It's been choppy. Like I said, if we went and went into the season with Memorial Day weekend 4th of July, the bigger weekends that typically show some robust numbers, we didn't really see those, but then the other times during the month, we've seen some strong recovery. So I think at the end of the day, we're still pretty constructive. Overall we think demand has more to go once we get back to a normal post-pandemic environment. Inventories are still constructive, as you mentioned, our whole thought process on the refining side of the house in the second quarter was run as reliably as we could in the margin environment, produce as much transportation fuel as possible. And really obviously continue to show the market that we're running a low cost system. So low cost, strong reliability and we'll take what the market offers as far as margins. And right now it's hard not to still be constructive. Demand is looking good. Inventories are low it's still a pretty constructive environment for us.
Theresa Chen: Thank you for that detailed response. And then turning to the contractual site of your assets or the contractual nature of your L&S assets and following the inflation data that we received thus far in the escalator tracking in that mid teens range. Can you remind us of the expected inflation tailwinds that you will have within L&S? And to the extent you can share any color on captain colors around your gathering assets as well, that'd be great?
Tim Aydt: Yeah, I can – this is Tim. I can kick that off. And I think your questions really about the inflation protection and so forth that some of our contracts may have. So we do have some level of inflation protection in almost all of our L&S and G&P contracts. They range from some of the small fixed escalators up to the variable escalators that are based on either CPI, PPI or the FERC indexes for those qualifying assets. For those regulated pipelines we typically adjust our rates in line with, for guidance. And most of those pipelines sought dated rates go into effect on July 1. While we don't really expect to see an in – we do expect to see an increase in revenue from those rate changes, but we don't expect to see a material change to the EBITDA given that these rate escalators are really meant to cover your increases in cost.  And then maybe just a reminder as well, that less than about one-third of the L&S EBITDA is directly tied to the FERC escalator which means that the majority of those are tied again to the fixed escalators or CPI or PPI. So hopefully that's helpful.
Theresa Chen: Thank you.
Tim Aydt: You're welcome.
Operator: Thank you. [Operator Instructions] Our next question will come from Danny for Neal Dingmann with Truist. Your line is open.
Unidentified Analyst: Hey guys, could you – going back to the return to capital question, can you speak to consideration of a supplemental distribution versus unit repurchases when created value for unit holders?
John Quaid: Yeah. Morning, Danny, thanks for the question. So again, overall, we're in a maybe an envious position, given the cash we're generating cover in our capital plan, a $900 million in our base distribution of $3 billion so that gets us to kind of this fork in the road. Again, I think I want to push you back that we continue to kind of see an all of the above approach. Certainly being opportunistic about unit repurchases. I mean, the supplemental can be tax efficient, but again, as I said, we might look to maybe hold some cash to be a little bit more opportunistic with our return to capital as we continue to evaluate growth opportunities as well. So that's kind of the framework maybe a little bit bigger picture than your question, but hopefully that's helpful, Mike, I don't know if you want to add something as well.
Mike Hennigan: Yeah, I'm just going to add, we said this in the past, but I'll just remind everybody that it's interesting to us that different unit holders have different views on return on capital. Some feel very strongly that buying units back is the preferred way to go. And others feel just as strongly that send me a check. And our situation as we look at it, we try and optimize as John has said, and kind of having all of the above approach. It wasn't too long ago that our yield was trading at 20% in that environment. We're going to buy back units it's just compelling to do that.  And then there's other times where we're going to look at it and say the supplemental makes sense. And we're going to also look at the permanent one. So we've tried to differentiate a little bit between what we think is permanent growth in earnings as a result of our capital investments, et cetera, versus some of these cash flows that we're getting, we think are transitory in nature due to some of the current market conditions. And that's why we put those more in the supplemental. So I think John said it very well. Our approach is all of the above. I think that fits the full investor base that we have, because there's a lot of different views from different people and strong views too.  I would say people are very convicted that, some tell us very, very strongly that unit buybacks is the way to go and others tell us very, very strongly, please send me a check, that's the way I'd like to see return of capital. So our approach has been to look at market conditions, look at where we stand as far as our projections, evaluate our ability to invest capital, because we keep saying it's a return of and return on. So we look at both of those. And at the end of the day, we're trying to create as much value as we can in the earnings. And then we're trying to be as efficient as we can in when we're returning it hopeful. Hopefully that gives you a little bit more color.
Unidentified Analyst: No, that's very helpful. Thank you. That's it for me.
Operator: Thank you. And our last question will come from Harry Mateer with Barclays. Your line is open.
Harry Mateer: Hi. Thanks. Good morning. Your first question, your leverage is tracking well below the target of four times. You've historically provided. So is that four times number still good to use? And how should we think about your willingness to use that capacity for like this incremental repurchase program and accelerated or would that not be something you'd like to do?
Mike Hennigan: Yeah, I'll let John comment, but one thing I do want to remind everybody is yeah, we are very comfortable that four times we've shown a lot of stability in these cash flows, but the reason we're at 3.5 times is basically because we've kept that flat and we've grown earnings. So as a result of that we've said this for a while that our leverage is going to decrease as a result. So one of the things that we will continue to monitor is as earnings grow, where is our leverage overall, we don't want to be under levered, but I think what you've seen over the last couple years is a change in that. We're going to manage the business such that we're going to generate free cash flow, invest capital in a more disciplined way, such that we're not adding to debt. So we've been kind of flat debt for a while. And that's why our leverage has been where it's been. John, do you want to add?
John Quaid: No. Mike, I think you said it and just kind of refer back to some of my comments in the remarks as well. We've got some maturities coming our way and we're looking to refinance those. So I think just another kind of thing evident though in line with what Mike was just talking about.
Harry Mateer: Okay. Thanks. And then that's a good segue. John, my follow-up, so you did comment about the senior maturities. Yeah. One question I've been feeling is just given how fluid the rates market has been. Curious how you're thinking about those preferreds, that reset to floating rate early next year, would seem to be pretty expensive capital with where rates are heading. So have you guys thought about where those fit in the capital structure longer-term?
John Quaid: Without a doubt? No. And I definitely appreciate the question. That's certainly something that's been on our planning as well, as we're looking forward not just to these senior note maturities, but those Series Bs, you've kind of summarized it well, high cost and opportunity to look to manage those when they become callable in February of 2023.
Harry Mateer: Okay. Thanks very much.
Operator: Thank you. 
Kristina Kazarian: All right, Sheila, if we don't have any other questions, thank you for joining us today and thanks for your interest in MPLX. If you have any questions that didn't get answered on the call today, our Investor Relations team is here to help any time. Thank you so much.
Operator: Thank you. That does conclude today's conference. Thank you for participating. You may disconnect at this time.